Operator: Greetings, ladies and gentlemen, and welcome to the Hooker Furniture quarterly investor conference call reporting its operating results for the fourth quarter of 2018. [Operator Instructions] As a reminder, this conference call is being recorded.
 It is now my pleasure to introduce your host, Paul Huckfeldt, Vice President, Finance, and Chief Financial Officer for Hooker Furniture Corporation. 
Paul Huckfeldt: Thank you, Daniel. Good afternoon, and welcome to our quarterly conference call to review our sales and earnings of the fiscal 2018 fourth quarter and year, both of which ended on January 28, 2018. We certainly appreciate your participation today. Joining me today are Paul Toms, our Chairman and CEO; George Revington, Chief Operating Officer of Hooker Furniture and President and Chief Operating Officer of our Home Meridian segment; and Michael Delgatti, President of our Hooker Furniture Brands segment.
 During our call today, we may make forward-looking statements which are subject to risks and uncertainties. A discussion of factors that could cause our actual results to differ materially from management's expectations is contained in our press release and SEC filing announcing our fiscal 2018 year-end results. Any forward-looking statement speaks only as of today, and we undertake no obligation to update or revise any forward-looking statement to reflect events or circumstances after today's call.
 This morning, we reported consolidated net sales of $175.5 million and net income of $8.8 million or $0.75 per diluted share for the 13-week fiscal quarter ended January 28, 2018. For the fiscal year, net sales were $620.6 million and net income was $28.6 million, which converts to $2.44 per diluted share. Burying in to the details, I need to point out that as part of our annual review of segment reporting, we've made some changes to our segment structure. We've recast prior year data in our press release and will report the new segments in our 10-K and in future reportings.
 For the quarter, consolidated net sales increased slightly compared to a year ago, primarily due to the addition of net sales from our recent acquisition, Shenandoah Furniture, and an increase in sales at the Hooker Branded segment.
 For the fiscal 2018 fiscal year, net sales increased 7.5% thanks to increases in the Home Meridian and Hooker Branded segment and the addition of 4 months of sales from our acquisition of Shenandoah Furniture in late September of last year.
 Earnings per share decreased to $0.75 per share compared to $0.95 in the prior year quarter due to some pressures on gross margins during the quarter and the impact of a $1.8 million charge to revalue our deferred tax assets as part of the recently enacted federal income tax reform.
 For the year, earnings per share increased to $2.44 from $2.18 per diluted share last year despite the impact of that tax adjustment.
 Now Paul Toms will comment on our fourth quarter results. 
Paul Toms: Thank you, Paul, and good afternoon, everyone. We're pleased with our performance for the fiscal year. We had higher sales in all reportable segments, double-digit gains in profitability and strong cash flow generation.
 For the year, our consolidated sales increase was driven by a 6% increase in the Home Meridian segment, 5% growth in the Hooker Branded segment and a 20% increase in the All Other segment. Nearly 80% of the All Other segment net sales increase was due to the inclusion of 4 months of Shenandoah's net sales. The higher revenues helped boost consolidated operating income by $6.7 million or 17% for the year. The improvement came despite approximately $800,000 in costs related to the Shenandoah acquisition and amortization of short-term intangibles from the acquisition. Also contributing to the higher operating income was $1.8 million less in intangible asset amortization at Home Meridian for this fiscal year.
 Over the last few years, our strategy has been to leverage the financial strength of our traditional businesses to grow profitability, both organically and through acquisitions. That strategy has helped us build a more diverse and robust portfolio of companies yielding strong results as we focus our resources and management time around winning channels of distribution, growing product categories and a broader spectrum of price points.
 For the fiscal 2018 fourth quarter, consolidated net sales increased $1.6 million or roughly 1% compared to the fourth quarter prior year. Net income decreased 19.5% mainly because of a $1.8 million charge recorded to reduce the value of our deferred tax assets, resulting from the tax rate reduction under the recently enacted Tax Cuts and Jobs Act of 2017, while income and earnings per share were unfavorably impacted by approximately $0.15 per share in the fourth quarter from the federal tax cut adjustment. Going forward, we anticipate approximately $6 million in additional net income this year from tax reform.
 During the fourth quarter, Home Meridian segment sales for the year were somewhat tempered by a sales decrease compared to the prior year's record fourth quarter shipments. In addition, the All Other segment experienced some unfavorable impact on margins from raw materials inflation at our domestic upholstering operations and excess capacity at our -- at 2 of our upholstery divisions, Sam Moore and Shenandoah, but we expect these factors to be temporary. Overall, the All Other segment performed very well for the year.
 At this time, I'd like to call on George Revington to fill us in on the details of Home Meridian's performance for the year and fourth quarter. 
George Revington: Thank you, Paul. Home Meridian's net sales in the quarter were down 9%, but they were up 6% for the full fiscal year. As a result of the extra sales volume and good expense management, operating profit, while down 5% in the quarter, was up a full 30% for the fiscal year.
 Orders and backlog at the end of the fourth quarter were down 4% and 8% respectively. HMI's current backlog, however, is up 19.3% over the prior year and orders are up 12.2% since the new fiscal year began. While some of these orders are programmed out over the next several quarters and will not affect the first quarter, it's a very positive trend.
 Sales to our emerging channels remain robust, growing to 40% of HMI's total sales year-to-date. E-commerce grew the most of the emerging channels in terms of both incremental dollar increase and percentage increase, growing 46% this year. Sales into our traditional channels grew 4% for the full year, typical of the industry.
 Our mega account marketing 
 [Audio Gap]
 number of the largest and best retailers in different channels and offer proprietary products and deeply integrated operational support continues to pay dividend. These mega accounts now represent 74% of our business, and they grew 13% this fiscal year.
 Accentrics Home continues to be the fastest-growing division, growing 74% for the full year. We're demonstrating success at selling an eclectic assortment of trend-forward accents and small-space furnishings to both pure-play Internet retailers and large national regional brick-and-mortar retailers who have effective online presences. Accentrics Home's first major product offerings from the October market are just now arriving into our warehouse.
 While our core strategies are working, we have experienced difficulties from disruptions in our Far East sourcing base that occurred over the Chinese New Year. Also, while we had a breakout performance from our hospitality group during the fourth quarter of fiscal 2017, the most recent fourth quarter was weak and that business continues to underperform. The business is project-based, very episodic, and we can recover quickly as we have experienced in the past. 
 To support the growth of our e-commerce and Accentrics Home initiatives, we have created a new digital marketing and data analytics support team. These teams drive the new product development efforts for e-commerce customers by using data-driven analytics, business intelligence tools to analyze the information from our customers, our own databases and the open Internet to make better product development decisions. In addition, we create rich content, superior visual images, including 3D images for virtual reality applications and romanced descriptions to support and enhance the digital shopping experience. This team is already improving our ability: to better understand the competitive landscape in our multiple product categories and price points; to see real price point moves in the marketplace; to focus on best-selling styles and colors; to exploit product gaps in the marketplace; to monitor online sales across multiple customers, marketplaces and platforms; and finally, to create visibility into and then manage the large amount of online reviews we receive.
 HMI's core strategy of riding the wave of channel distribution shifts by attacking emerging channels of distribution with technology-based analytic tools continues to be successful.
 At this time, I'll turn the call over to Mike Delgatti, President of Hooker Brands, who will comment on the performance of the Hooker Brands and the All Other segment this year and also to give us a preview of the April High Point Market, which will open next week. Mike? 
Michael Delgatti: Thank you, George, and good afternoon to everyone. We're gratified at the performance of both the Hooker Branded and All Other segments during the recently completed 2018 fiscal year, and the momentum has continued in the current year-to-date.
 The Hooker Branded segment grew $8.1 million or 5.1% in fiscal 2018, primarily due to dramatic sales growth of 36% in the Hooker Upholstery business unit. The strength of Hooker Upholstery's recovery after significant vendor quality issues last year demonstrates the future potential of that business unit and the value it offers our customers. Hooker Upholstery continues at a positive trend this year, performing well with product placements at key retail floors.
 Hooker Casegoods business stabilized throughout the year, finishing with solid growth in the fourth quarter. The segment continues to trend in the right direction, with sales and incoming orders up approximately 9% in the first 2 months of the current fiscal year.
 Segment operating margin remained a solid 13% for the year despite $1,800,000 in acquisition-related expenses recorded in the segment. For the quarter, the operating margin was 15.3%, reflecting the leverage gained from the uptick in sales. 4 months of revenue from Shenandoah Furniture contributed nearly 80% of net sales in the All Other segment. Growth at Bradington-Young remained solid, driven by sales from the Comfort@Home-dedicated retail space program, along with the vibrant sales in the luxury motion furniture line product niche in which Bradington-Young is considered an industry leader.
 While flat for the year, Sam Moore had a very good October 2017 High Point Furniture Market and good fourth quarter floor placements with key accounts. We expect that Sam Moore will steadily improve throughout the year.
 For both the Hooker Branded and All Other segments, our success is being fueled by our recent focus on emerging channels of distribution and up-and-coming product categories. Along with the traction we're beginning to get with emerging channels, we're making some progress with key accounts within our traditional furniture retailer account base by having the right products, enhancing our service levels and supply chain support.
 As we prepare for the April High Point Market opening next week, we are in a strong position in Casegoods having preordered some of our most well-received items from premarket last month, including Mélange accents and the new Boheme home collection. Because of the preorders, these new orders will be shipping from our vendors by early July, which strengthens our goal to improve speed to market. 
 Also at the upcoming High Point Market, we'll be introducing a program to help grow sales with one of our targeted emerging distribution channels, the interior designer channel. We're launching a new paid membership program for residential and commercial interior design firms, boutiques, to the trade showrooms and sole proprietors, called Design Pro. The program is designed to create increased client loyalty to Hooker brands who are specifying our lines in their projects and includes expanded service levels, ranging from prepaid freight programs to sales tools.
 The interior design channel is growing and our brands are a great fit, with a wide assortment of fashion-forward upscale quality products designers demand.
 Now I'll ask Paul Huckfeldt to provide more details about our results. 
Paul Huckfeldt: Thanks, Mike. As I reported earlier, sales increased slightly at about 1% over the prior year quarter due mostly to the addition of Shenandoah net sales in our All Other segment and a solid sales increase in the Hooker Branded segment, which offset a 9% decrease in sales at Home Meridian after a sensational quarter last year.
 Consolidated unit volume increased 7% and average selling prices decreased 5.7% for the quarter. Home Meridian's unit volume was up 14.8% and ASP was down about 7.5% due to sales growth and customer mix. Unit volume in Hooker Branded segment was up 5.3% due to higher sales in the import Hooker Upholstery business now that we've recovered from the quality-related inventory availability problems, which began in the spring of 2016, and impacted much of our fiscal 2017.
 Unit volume in the All Other segment was up about 20% due to the sales increase at Bradington-Young as well as the addition of Shenandoah Furniture for the full quarter. Upholstery ASP stayed essentially flat.
 For the fiscal year, consolidated unit volume increased by nearly 14%, while ASP decreased about 5.5%, mostly due to the increase in the generally lower-priced Home Meridian products in our product mix.
 For the quarter, gross profit decreased $400,000 despite slightly higher sales, mostly due to higher warehousing and operations costs. We also saw a slight degradation in gross margin due to higher cost of goods sold in the Hooker Branded segment, which offset similar improvements in the Home Meridian segment, which resulted from a shift in the mix and customers and Home Meridian's initiatives to improve margins.
 Consolidated gross profit for year-to-date increased $9.1 million, with most segments reporting operate -- improvements in gross profit, the largest dollar increase from the Home Meridian segment. Full year gross profit for the All Other segment increased due to the addition of Shenandoah's gross profit during the last 4 months of the year, and year-to-date consolidated gross margin was flat compared to last year at 21.8% both years.
 Consolidated SG&A expenses for the year increased in absolute dollars, primarily due to the addition of Shenandoah's SG&A expenses, but declined about 40 basis points as a percentage of net sales due to the higher net sales. Spending in the current year quarter also increased due to the addition of Shenandoah's expenses and were higher than last year as a percent of sales due to the impact of lower sales volume on the fixed costs in the current year quarter.
 While the amortization of intangibles related to Home Meridian's acquisition declined about $1.8 million from last year, we amortized $750,000 of intangibles related to the Shenandoah acquisition in the final 4 months of fiscal '18. Going forward, we expect amortization of intangibles to run about $2.3 million a year.
 For these reasons, operating income for fiscal 2018 was $45.9 million or 7.4% of net sales compared to $39.2 million or 6.8% of net sales in fiscal 2017.
 Our balance sheet remains strong despite the use of cash and debt to acquire the businesses of Home Meridian last year and Shenandoah Furniture this past September. At the end of the fiscal year, we had cash and cash equivalents of over $31 million available to provide the required working capital to service our -- and to service our acquisition-related debt, which stood at $53.3 million at the end of the fiscal year.
 We also have access to $28.5 million in a revolving credit facility and about $24 million of cash surrender value in company-owned life insurance, which gives us additional financial flexibility.
 On March 5, we also announced a continuation of our -- the increased quarterly dividend of $0.14 per share, which represents about a 1.5% dividend yield. And based on our strong balance sheet position, last week, we made an unscheduled $10 million payment on our acquisition debt.
 Now I'd like to turn the call back to Paul Toms for his outlook. 
Paul Toms: Thanks, Paul. The current retail conditions and our own business results can best be described as mixed. Business during the President's Day promotions at retail was very good for most retailers and for our companies, but overall activity varies by region of the country, region of the world and by distribution channel. Our businesses cross various home furnishings product categories, price points and distribution channels, so at any given time, we have some divisions outperforming others. 
 Currently, our Hooker Legacy businesses positioned in the higher price points are faring well, with February, March orders up about 5% compared to this time last year. While Home Meridian's orders are up 12% over prior year, its hospitality business, our smallest marketing group, remains weak and their supplier's post-Chinese New Year's recovery has been slower than normal. We expect these situations will be temporary.
 With our diverse portfolio and strategy to focus on winning channels, we're well positioned to grow sales and income in the coming year, thanks to the solid foundation of our traditional businesses and our numerous initiatives to create new opportunities.
 This ends the formal part of our discussion. At this time, I'll turn the call back with our operator, Daniel, for questions. 
Operator: [Operator Instructions] And our first question comes from Anthony Lebiedzinski with Sidoti. 
Anthony Lebiedzinski: So first, I wanted to ask about the Hooker Upholstery segment. It looks like that did well. You cited dramatic growth there. Can you give us a sense as to what's driving that specifically? Are there any new category? I mean, I don't think there's any new products in there, but maybe you could just share with us what are your top reasons for the performance at the Upholstery segment? And I have a few other questions as well. 
Paul Toms: Sure. The Hooker Upholstery brand has a lot of energy and has been very aggressive in expanding and further developing those categories that it has had a lot of success in, such as recliners and, more recently, motion. We've also had some really good success in placing some of our newer products with key retailers, and what we're finding is that both products are turning and it seems like success breeds success; as products sell well, retailers have an inclination to expand programs, which is working in our favor. Additionally, we've had success with emerging channels, specifically e-commerce. Hooker Upholstery e-commerce sales have been very strong, along with the interior design channel. So the combination of all of those things is what seems to really be driving Hooker Upholstery sales. 
Anthony Lebiedzinski: Okay. That makes sense, yes. And so I'm just curious, what percentage of your sales would be to the interior design channel? 
Paul Toms: Overall, and this would be Hooker Furniture Legacy Brands, our interior design sales are around 10%. 
Anthony Lebiedzinski: Okay. Got it, okay. And then switching over to HMI, George, you talked about the hospitality group, but can you give us a sense as to how big, how important is that to the overall mix? It doesn't sound like it's overly material, but maybe you could share with us, give us some color as to the hospitality group. I know it's project-based, but just, overall, any additional color, that would be helpful. 
George Revington: Sure. So it's the smallest division of Home Meridian. It's like in the -- about in the 5% range, and -- but I think what's important is it just had a breakout year last year and it had a weak year this year. And it actually was responsible for a significant amount -- well, virtually all of the shortfall of the prior year sales this year. 
Anthony Lebiedzinski: Okay, got it. And as far as the comment about the post-Chinese New Year recovery being slower than normal, can you maybe explain that a little bit better as to what exactly is going on there? I know you said it's -- you think it's temporary, but can you just explain that issue, please? 
George Revington: Yes, it happens every year. Sometimes, it's more impactful than others. But basically, they'll take 2, 3 weeks, those factories down 2 or 3 weeks. And when they start up, there's a lot of shifts, their shifts and employees, they change jobs. So we have people in Asia right now working on it. Eventually, it smooths out, and we'll be all right, but it's a little more disruptive than it was the prior year. 
Anthony Lebiedzinski: Okay, got it. Okay. And the other thing I wanted to ask is about the impact of raw materials. Can you give us a sense as to how much did that impact the quarter? There was also a mention of excess capacity in 2 of the domestic manufacturing divisions. So if you could give us some more color in regards to that, that would be very helpful. 
Michael Delgatti: So in terms of material cost increases, the domestic upholstery operations have been most impacted, which has resulted in relatively modest price increases to cover those costs, which came at us from a number of different directions, ranging from plywood, to packaging, to foam. So we are in a situation where we anticipate there may be more coming. Specifically to what extent, that's an unknown at this point in time. In terms of capacity, Sam Moore has been challenged in recent months more so than Bradington-Young. They have been operating some short schedules. B-Y, on the other hand, while they've seen a slowdown in incoming orders and in recent weeks, some of it seasonality, some of it relating to Easter being early this year, they do continue to run at full capacity based on their current staffing. 
Paul Toms: Just to expand on what you're saying too, the price increases we've already experienced from our vendors, we feel like we've recouped in price increases to our customers. But they do lag the price increases we received. And I think we're not alone in that. I think, in our industry, price increases from upholstery vendors are somewhat normal right now. And then I think, going forward, we feel like we have the ability to recoup price increases if we continue to receive them at any of those areas, raw material areas that Mike discussed. 
Anthony Lebiedzinski: The explanation there, that's very helpful. And as far as the outlook, so I was trying to see if you could perhaps help me better understand. So you talk about, overall, having a mixed outlook, but then when I look at the order and backlog trends, those seem pretty favorable. I heard about the President's Day commentary, which, to me, it appears that more and more people are buying furniture around the holiday times. So I don't know if this is -- are you seeing more compression as to when actually the consumers are choosing to buy furniture more so than ever? Or if you could just help me kind of connect the different pieces, that would be great. 
Paul Toms: So I think, generally, yes, there is more furniture sold around major holidays, President's Day, Labor Day, others, than in between those periods, or those are the periods that you see a big bump in orders, and then it seems to slow down a little bit afterwards. I think, for the last several months, say, since the start of this year, I would say that most retailers would say they had mixed business in January, February and March, it was good around the holidays, maybe it was good in one of those or 2 of those months, but I think there are very few people that would say business was strong across the entire first calendar quarter of the year. There are exceptions to that. I think Florida is robust, South Texas is very robust, where they're recovering from the flood damages and the hurricanes last September. But I think, overall, businesses, and I think overall retail, not just furniture retail, but retail in general has been kind of sporadic in that period. I think we're doing reasonably well. We shared with you the growth in orders and backlogs through the first 2 months of Q1 for us. And so we go -- we feel pretty bullish based on how we've fared with orders. I do think we kind of would temper that a little bit with saying that where Hooker orders generally are shipped out immediately, because so much of our orders are shipped out of warehouse stock a piece or 2 at a time to customers across the country, Home Meridian's business is programmed out further. I mean, they can be programmed out, and George can expand on this, but from 3 to 6 to 8 months. And so there's not as closely correlated shipments to orders there as there are as for the Hooker Legacy Brands, but eventually, most of our orders get shipped, it's just maybe a little bit longer lag time at Home Meridian. 
Anthony Lebiedzinski: Got it, okay. No, that's very helpful. Okay. And lastly, what is your longer-term outlook for additional acquisitions? Obviously, Home Meridian was a game-changer for you, and you added Shenandoah Furniture. Longer-term, are you still looking to add to your portfolio of brands or how should we think about the longer-term? 
Paul Toms: Absolutely. We're definitely -- acquisition is part of our strategy. I think we also have a lot of plans in place to grow our existing businesses organically. But I guess the bottom line is we're generating more cash flow than we need to operate our existing businesses, and we feel like one of the best ways to return money to the shareholders is to invest strategically in businesses that complement what we're doing, that are focused on product categories, our channels of distribution that we see is winning at retail, and we'll continue to look for those. And I think with the recent tax reform, we expect cash flow and earnings to be even better than they have been historically. We're paying down what little debt we have ahead of schedule and trying to position ourselves to be able to take advantage of opportunities as they present themselves. 
Operator: And our next question comes from Mitchell Brivic with Tygh. 
Mitchell Brivic: But I just wanted to start off with you just were talking with Anthony about M&A, and I was wondering what was the organic revenue growth if you back out M&A for 2017. 
Paul Toms: Well, I guess our overall growth was around $40 million, and I think $11 million was the acquisition, 4 months of the Shenandoah acquisition. So you had about $30 million, which would have been about 5% of our overall growth. [ So a ] 5% growth. 
Paul Huckfeldt: And that was sort of split evenly between the major business units. 
Paul Toms: Right. Maybe 2/3 to Home Meridian and 1/3 to Hooker Legacy -- a little more than 1/3. 
Mitchell Brivic: Okay. With -- you talked about raw material costs going up and you hear a lot of the retail operators talking about increases in labor costs. Have you experienced any of that domestically or globally? 
Paul Toms: I would say minimal increases in labor costs. I think we're in a -- not a particularly inflationary environment for labor still. We pay, I think, in both domestic companies -- or all domestic companies very competitive wages, maybe above market. And we have good bonus plans that many of our employees share in. So other than maybe the starting wages for our warehousing personnel, which we intentionally started raising several years ago to get to more of a living wage, not seeing a lot of pressure there. 
Mitchell Brivic: All right, good. So when you think about cost that you could reduce further, is there much low-hanging fruit or have most of the costs been pulled from the operating model going forward? 
Paul Toms: I think there's always opportunities to nibble at the edges. I wouldn't say there's any large buckets of cost. I think we've got some nonrecurring expenses around the acquisition costs for Shenandoah, and the initial amortization was accelerated on some of the Shenandoah acquisition. But those -- other than that, I don't see huge changes in our cost structure. 
Paul Huckfeldt: Compliance costs go up in year 1 after an acquisition, and so those should settle back down, but they're all reasonably small numbers. 
Mitchell Brivic: Okay. What about operating margin expansion? You've seen a nice little trend upward. And I was wondering, is there opportunity to increase those further? And what would be like the medium-term goal of where you'd like to see those in the next 3 to 5 years' operating margins? 
Paul Toms: Well, I think we do believe there's opportunities through leverage, sales leverage to spread our fixed cost over a larger base and increase operating margins in both companies. At the end of last year in Upholstery, we saw the impact of raw materials price increases, along with some inefficiencies from not being at capacity in 2 of the 3 divisions. And those we can see improvement, but I can't say that I can give you a specific target for what we would expect in operating margin improvement. 
Mitchell Brivic: Okay. And then how would you describe the health of maybe your top 5 customers? Or does that business continue to accelerate, or is it starting to plateau? Or how would you describe... 
Paul Toms: Since all of our top 5 customers are probably Home Meridian customers, I'll let George answer that. 
George Revington: And so we have concentrated sales with large customers, and we've been compounding the growth of those, 20 is the way we count them now, at 13%, 14%, 15% a year for 5 years. So I think the strategy's worked and probably will continue to. They're offset by losses in some other channels, but the core strategy works pretty good. 
Mitchell Brivic: Okay. And is the e-commerce customer as profitable as a non-e-comm customer, or are they comparable? 
Paul Toms: Yes. They're every bit as profitable as our other channels of distribution. 
Operator: And that concludes our question-and-answer session for today's call. I would now like to turn the call back over to Paul Toms for any closing remarks. 
Paul Toms: All right. We really don't have any additional remarks. We just appreciate your listening today to our call. We look forward to being back with you in about 60 days as we present the first quarter results. Thanks for your attention. 
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program, and you may all disconnect. Everyone, have a wonderful day.